Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Partner Communications Fourth Quarter and Full Year 2020 Results Conference Call. All participants are at present in a listen-only mode . Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. I would now like to turn the call over to Mr. Gideon Koch. Mr. Koch, please begin.
Gideon Koch: Thank you, and thank you to all our listeners for joining us on this conference call to discuss Partner Communications’ fourth quarter and annual results for the year 2020. With me on the call today is Isaac Benbenisti, Partner’s CEO and Tamir Amar, our CFO. Isaac will provide a general survey of Partner’s business and strategic developments over the year 2020. He will then hand over to Tamir, who will provide a more detailed discussion of our quarterly and annual results. And finally, we will move on to the Q&A. Before we begin, I would like to draw your attention to the fact that all statements in this conference call maybe forward-looking statements within the meaning of Section 27A of the US Securities Act of 1933 as amended, Section 21E of the US Securities Exchange Act of 1934 as amended and the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995.
Isaac Benbenisti: Thank you. Good day, everyone and welcome to our earnings conference call. In summary of the year of COVID-19 and operational complexity, Partner was able to maintain stability in revenue into present and net profit. During the year 2020, hundreds of thousands of subscribers joined the company services in cellular, Internet and television. During the past year, Partner has expanded its growth engines in cellular, with the launch of the 5G network, Partner 5G; in Internet with the future further rollout of our independent fiber optic infrastructure Partner Fiber; and in TV, the fastest growing TV service in Israel Partner TV, with the deepening of our cooperation with Netflix in a unique bundle offer. In cellular, Partner subscriber base grew by 179,000 cellular subscribers net in 2020 to total approximately 2.84 million, alongside the continued increase in customer loyalty, with the lowest churn rates for over a decade. In the year 2020, we made a big leap in the group's activity in the Internet sphere with a 23% increase in the company's infrastructure base Internet subscriber base to total 329,000 subscribers at year end. The growth resulting from the joining of tens of thousands of new subscribers to services also Partner Fiber, the company's independent fiber optic infrastructures.
Tamir Amar: Thank you, Isaac. Good day, everyone and welcome to our earning conference call. The steps we've taken during the year alongside the continued subscriber growth in the cellular and fixed line segments lessened the impact of COVID-19 on our results. In the fourth quarter and during 2020 as a whole, the positive momentum in our growth engines continued, while accelerating the rollout of our fiber optic infrastructure. Our success this year in the 5G frequencies standard and our compliance with the milestones in the deployment of 5G sites set by the Ministry of Communications will enable us to advance the rollout and connect more and more customers to the 5G network, and gradually expand the range of advanced services offered to Partner's growing subscriber base. In addition, the company managed to position itself in first place together with another operator in bidding for a deployment grant in 5G, thus, benefiting from additional financial support for the continued deployment of 5G sites in addition to our eligibility for a significant discount on frequency fees, subject to certain tender conditions. Our cellular subscriber base increased this year by 179,000. The increase included 74,000 subscribers, net, who joined in the last quarter of the year, including 25,000 subscribers to 12 month data package for modems provided to students by the Ministry of Education as part of their COVID-19 crisis program. The churn rate in the fourth quarter amounted to 7.2%, similar to that in the corresponding quarter last year. ARPU in the fourth quarter totaled ILS49 compared to ILS55 in the fourth quarter last year, mainly reflecting the negative impact of the decline in roaming service revenue as a result of the sharp decline in international travel due to COVID-19. In the fixed line segment, our fiber optic infrastructure already reached more than 760,000 households as of today. The number of phone connected within building connected to our fiber optic infrastructure was 465,000 at year end 2020, an increase of 141,000 in the year and 33,000 in fourth quarter. As of the end 2020, Partner has 139,000 fiber optic subscribers, an increase 63,000 in the year and 19,000 through the fourth quarter. The number of fiber optic subscribers from households within home connected buildings reflects an home connected penetration rates of approximately 30% as of the end of 2020 compared with approximately 23% through the end 2019.
Operator:
Isaac Benbenisti: Yes. So thank you for joining our earnings conference call. We are very pleased of our results. We think compared to the big complexities that we faced in 2020, we achieved impressive results, and it put us in a very good position to 2021. And I'd like to thank you and wish you all a Happy Passover and looking forward to seeing you at our next conference call. Thank you.
Operator: Thank you. This concludes the Partner Communications Fourth Quarter and Full Year 2020 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.